Colleen Schaller: Hello, everyone. This is Colleen Schaller, Director of Investor Relations. Welcome to the National Health Investors Conference Call to review the Company's Results for the Second Quarter of 2018. On the call with me today is Eric Mendelsohn, President and CEO; Roger Hopkins, Chief Accounting Officer; Kevin Pascoe, Chief Investment Officer; and John Spaid, Executive Vice President, Finance. The results as well as notice of the accessibility of this conference call on a listen-only basis over the Internet were released this morning before market opened and a press release that’s been covered by the financial media. As we start, let me remind you that any statements in this conference call, which are not historical facts, are forward-looking statements. NHI cautions investors that any forward-looking statements may involve risk or uncertainties and are not guarantees of future performance. All forward-looking statements represent NHI's judgment as of the date of this conference call. Investors are urged to carefully review various disclosures made by NHI in its periodic reports filed with the Securities and Exchange Commission, including the risk factors and other information disclosed in NHI's Form 10-Q for the quarter ended June 30, 2018. Copies of these filings are available on the SEC's Web site at www.sec.gov or on NHI's Web site at www.nhireit.com. In addition, certain terms used in this call are non-GAAP financial measures. Reconciliations of which are provided in NHI's earnings release and related tables and schedules, which has been filed on Form 8-K with the SEC. Listeners are encouraged to review those reconciliations provided in the earnings release together with all other information provided in that release. I’ll now turn the call over to Eric Mendelsohn.
Eric Mendelsohn: Thank you, Colleen. Hello, everyone and thank you for joining us today. I'm pleased to report we’ve had another great quarter. Normalized FFO increased 4.6% per share and normalized AFFO increased 6.8% per share when compared to the same quarter in 2017. From an investment standpoint, we executed over $115 million in the second quarter, bringing our year-to-date total to $159 million. I'm also happy to say we’ve gained the new operating partner, Comfort Care Senior Living, a growth oriented operator with an excellent reputation. Kevin will tell you more about them later. NHI continues to grow at a measured pace with new acquisitions and investments. We are exploring all avenues of growth, not just triple net leases. While we know it's a tough environment in the senior housing space right now with supply and occupancy concerns on the top of everyone's minds, we continue to view these conditions an opportunity. As a reminder, we are one of the only few healthcare REITs that have shown positive revenue growth year-to-date. Additionally, skilled nursing continues to be a bright spot in our portfolio. What a difference a year makes in sentiments for this sector. With that, I'll turn the call over to Roger Hopkins to walk through the financials. Roger?
Roger Hopkins: Thanks, Eric. Hello, everyone. We are very pleased with the performance of NHI’s portfolio for the quarter and year-to-date. All other REIT peers are rationalizing certain large portfolios that have been a significant drag on their performance metrics so far this year, NHI is focused on giving its shareholders another good year of steady performance and accretive new investments in an industry where there is more competition for assets, many of which are priced at levels that are not accretive to read investors. For the second quarter of 2018, normalized FFO per diluted share increased 4.6% to $1.30 compared to $1.32 for the same period one year ago. Normalized adjusted FFO or AFFO excludes the effect of straight-line rent for GAAP purposes. AFFO increased 6.8% to $1.26 per diluted share compared to $1.18 one year ago, and is reflective of our good investment volume and annual lease escalators. We continue to fund our development and loan commitments, totaling $50 million as outlined in our Form 10-Q. These commitments relate primarily to new construction and renovation projects at facilities leased by our existing tenants. Funding of our commitments add to the lease space on which rent income is calculated. Several of our tenants are actively renovating or expanding their facilities to meet the wants and needs of a growing demographic of senior adults. Whether we acquired new assets or provide funding for construction, our goal is to deploy a careful mix of debt and equity to maintain our low leverage profile. This approach allows NHI access to new capital in its many forms. NHI’s total revenues for the second quarter showed growth of 4.5% over the same quarter in 2017 and 7% year-to-date. Our rental income increased 6.3% to $69.9 million for the quarter and 8% year-to-date due to funding of $130 million for new investments and $4.3 million in property renovation so far in 2018. For the second quarter of 2018 and year-to-date, our general and administrative expenses increased 9.7% when compared to the same period one year ago, primarily due to the hiring of a new experienced business development professional and additional part time corporate accounting and other accruals. Our non-cash share based compensation expense in the second quarter was $386,000 and has planned to be the same in the next two quarters. During the second quarter, we recorded a write-down of straight line receivables for GAAP purposes of $1.4 million due to the planned transition of a single property to a new tenant, and recorded a receivable write-down of $413,000 related to a development loan to a company focused on international growth. NHI’s management team has incentivized on annual growth and dividends and normalized AFFO on a per share basis. Our normalized AFFO is a non-GAAP measure of performance, which excludes the accounting convention of non-cash straight line rent income that gives credit to our actual lease escalators. We believe this measure is the best quarterly and annual indicator of growth in our portfolio and the ability to increase dividends to shareholders. This morning, we announced our regular third quarter dividend of $1 per share to shareholders of record on Friday, September 28th and payable on Friday, November 9th. We currently estimate our normalized FFO payout ratio for the year will be in the low 70% range and our normalized AFFO payout ratio will be approximately 80%; thereby, permitting NHI to retain over $40 million of excess cash above its dividend for 2018, to be used for making accretive new investments. Moving on to guidance for 2018. We have tightened our guidance ranges as we have greater visibility on our performance for the remainder of 2018. We currently estimate normalized FFO in the range of $5.47 to $5.51, and normalized AFFO in the range of $5.01 to $5.03 per diluted share as shown in our earnings press release this morning. These estimates include the expected funding of our ongoing commitments and the composition of our debt and equity capital to properly align our capital resources for growth. I’ll now turn the call over to John Spaid who will discuss further our uses of debt and equity capital.
John Spaid: Thank you, Roger. For the quarter ended June 30th, our debt capital metrics were; net debt to annualized EBITDA of 4.3 times; weighted average debt maturities at 6.4 years; and fixed charge coverage ratio at 6 times. For the six months ended June 30th, our weighted average cost of debt was 3.56%. NHI ended the second quarter with $327 million outstanding on our revolver, leaving up to $223 million in available revolver capacity. Our revolver balance is reaching a point where we are now planning to turn off some of our debt to free up capacity on our revolver. We expect to provide you with further details in our plans during our third quarter conference call. Turning to our ATM program. During the second quarter, we sold 628,403 shares of our common stock. The shares were sold at an average price of $72.70 per share, resulting in net proceeds after commissions of $45 million. Net proceeds were used to reduce our revolving debt. And for our second quarter ATM activity, we have approximately $230 million in capacity remaining under our shelf facility. With our leverage currently at the lower end of our 4 to 5 times net debt to EBITDA ratio, NHI continues to be well-positioned for future accretive investments. I will now turn the call over to Kevin Pascoe to discuss the portfolio.
Kevin Pascoe: Thank you, John. Looking at the overall portfolio. At the end of the first quarter, the EBITDARM coverage ratio was 1.68 times. Senior housing remained steady at 1.23 times and our skilled portfolio was up slightly at 2.53 times. Our operating partners have continued to feel the effects of wage pressure, but they are working diligently to mitigate the challenges. As a group, they have done an excellent job of holding occupancy. When we compare sequential quarter results for NHI's NIC MAP covered communities versus their respective NIC MPA markets, NHI’s communities in aggregate are essentially flat. This is in comparison to a slight decline seen in their respective markets. Furthermore, the NHI NIC MAP covered communities showed a slight improvement year-over-year versus a decline seen in the respective NIC MAP markets. Taking a look at our larger operating leases, Bickford Senior Living, which represents 18% of our cash revenue, had an EBITDARM coverage ratio of 1.18 times for the trailing 12 months ending March 31st. The developments in aggregate continue to lease up on or ahead of schedule, and the recently acquired portfolio in Ohio and Pennsylvania is performing in line with underwriting as Bickford works to transition and upgrade these communities. Additionally, NHI closed on another site in Michigan with Bickford in July that is expected to break ground later this quarter. Looking at the Senior Living Communities, which represents 15% of our cash revenue, including entry fee income, their EBITDARM coverage ratio was 1.28 times on a trailing 12 month basis as of first quarter end, and year-to-date 2018 performance has been in line with the expectations. Turning to National Healthcare Corporation. Our partnership with NHC accounts for 14% of our cash revenue and had corporate fixed charge coverage of 3.59 times. Our relationship with Holiday Retirement represents 14% of our cash revenue. As of first quarter end, their EBITDARM coverage is 1.17 times, up 1 basis point from our last call. The second quarter saw a net positive move-in and occupancy for the quarter ended at 90.7%. Turning to new investments. In May, we announced the acquisition of two skilled nursing facilities in Texas for $29 million. These facilities were leased to affiliates of the Ensign Group and added to the existing master lease at an incremental rate of 8.1% plus annual lease escalators based on inflation. The master lease obligations are guaranteed by the Ensign Group. These 132 bid buildings are located in the greater Dallas-Fort Worth MSA, and bring NHI’s total relationship with the Ensign Group to 19 buildings. This acquisition completes NHI’s commitment to acquire four skilled nursing facilities in development. Also in May, we announced the acquisition of two assisted and memory care communities, totaling 106 units in Michigan for $17.1 million. The communities were acquired from and will be leased to affiliates of Comfort Care Senior Living at an average yield of 8.1% with CPI based escalators. NHI also has a purchase option on two additional communities in Michigan. Comfort Care is a growth oriented company based in Michigan with newer communities that serves secondary markets. They are a wonderful addition to NHI’s operator relationships that overlays well with NHI’s investment strategy. Moving on to our pipeline, it remains strong with a healthy level of opportunities under review. The marketplace is competitive as we continue to see various investor types in the market, particularly private equity. We remain selective to ensure we’re adding high quality operators and communities to the portfolio. And as Eric mentioned, we continue to evaluate solutions to foster long-term relationships with operators. With that, I’ll hand the call back over to Eric.
Eric Mendelsohn: Thank you, Kevin. We’ll now open the line for questions.
Operator: [Operator Instructions] Our first question is from the line of Rich Anderson with Mizuho Securities. Please proceed with your question.
Rich Anderson: So just a couple of things on guidance to start. Roger, you spoke a little bit about what’s in G&A in terms of the stock. But what’s the full number that you have in guidance right now unless if you said it, I apologize.
Roger Hopkins: For AFFO?
Rich Anderson: For G&A in the guidance for FFO, AFFO…
Roger Hopkins: I didn’t disclose the number on that. And we don’t expect anything unusual in the third or fourth quarter at this stage. And really our guidance as it is allows for perhaps increased in interest expense we would incur from terming out some of our revolver as John described but also gives us the ability to do some additional investments. And so this is really the guidance and visibility that we have right now.
Rich Anderson: And do you have anything dialed in from an acquisition standpoint and guidance going forward?
Roger Hopkins: Nothing that we could put a dollar amount on, we have things circling that could hopefully close before the end of the year. And we do have our ongoing commitments for construction and renovation, Rich…
Eric Mendelsohn: And Rich, if we did an acquisition before the end of the year that was material to our guidance, we would put that in the press release and adjust our guidance accordingly.
Rich Anderson: Turning to Bickford, you saw coverage go down 1.22 to 1.18 I believe, if I’m reading this right. Can you talk about that Kevin? Is there anything material to read into that move?
Kevin Pascoe: I don’t think there is any material to read into it. I think what we’ve done is been adding communities where we’ve brought on the Minnesota portfolio. There has been some transition associated with it. You will see next quarter that we brought in the Ohio and Pennsylvania portfolio there has been transition associated with this. So I think there’s just normal transition. There is no two ways about it in terms of the market, there is wage pressure that everybody is dealing with and feel like they’re doing a good job to try and mitigate it. So I don't think there's anything big that need to read into it, it’s just a matter of them working through adding new properties, bringing on the new developments and continuing to try and operate as best as they can in this environment.
Rich Anderson: And then the $2 million of write down split between the debt and the lease. Do you have any visibility into whether or not this could be more of a recurring commentary, or is this one hit wonder this quarter?
Roger Hopkins: It’s not whack a mole as you like to say. It is -- these are one hit wonders that we have from time-to-time. If you look at last year and the year before, I think we've done something similar every year. I like to say that at any time there's probably 5% of our portfolio that is in distress or has a question mark over it and that every year it's a different 5%.
Rich Anderson: Last question for me, you mentioned what a difference that makes on SNF sentiment. Is just sentimental or is it real in your opinion, Eric?
Eric Mendelsohn: Well, I was very pleased to see the CMS rate increase, such as it was. And Ensign continues to outperform NHC the same. So from where we’re sitting, we like skilled nursing, we like where the market is on skilled nursing and so far as better coverage on transactions. And we think that investor sentiment has turned on skilled nursing as well.
Operator: Our next question is from the line Juan Sanabria with Merrill Lynch. Please proceed with your question.
Unidentified Analyst: This is Kevin on for Juan. I just had a question pertaining to the asset use transition and the other asset that was categorized at compliance. If you guys can go into detail about these situations, what happened there or what are the issues?
Eric Mendelsohn: About which situation?
Unidentified Analyst: The asset that you -- one asset that you commissioned in Wisconsin and then the other asset that you noted was non-compliant in the 10-Q?
Kevin Pascoe: So the one that we talked about, it was non-compliant that’s been in there for a couple quarters. That was an issue of -- they got behind on some of their payables and they were through some occupancy issues. They’ve made a lot of progress. They’ve been doing everything. They’re supposed to be doing working very hard around the problem. And feel like they’ve made really good progress. So we’re happy with where they’re at leaving them in our filings for now just disclosed -- where they’re at or just that there was the issue. But are very pleased with the progress they’ve made. And then the other is Eric touched on that’s just a one-off transition that happens from time-to-time, the small operator that just would not performing well in that market. And I think there is an opportunity for us to get a new operator in there that will have that property succeed.
Unidentified Analyst: And then follow on coverage. Was there any impact to coverage from -- I think it was three properties that were pulled out from the need driven coverage pool from last quarter?
Eric Mendelsohn: So we pulled those out, because we don’t have visibility right now on the occupancy so we can’t report on it. So once we get that information, we‘ll certainly plug it back in.
Unidentified Analyst: Can you say what coverage would have been if they were included in the pool?
Eric Mendelsohn: Like I said, we don’t have that information they haven’t supplied it.
Unidentified Analyst: And then just next question, in general senior housing supply environment. Are you seeing operators lower pricing or discounts, offer concessions in order to bring occupancy back up post flu season?
Kevin Pascoe: There has been in select markets with some of our operators, we do see them trying to use some tools on the marketing side to be able to attract more lead generation and be able to get people to move in. Frankly we haven’t seen significant discounting. I’d be remised to say there is none but it does happen. It served as an effective tool but I feel like the operator has done a good job about being very focused on what markets they do it in, and having a very tactical approach is not just lower pricing for the sake of trying to get occupancy. There is a very measured trade-off of getting that next resident in the building versus the income you’re going to get, and I think they do it in a very smart way.
Operator: Our next question is from the line of Chad Vanacore with Stifel. Please go ahead with your question.
Chad Vanacore: So I just want to kick off on Rich’s question on Bickford coverage trend. So last quarter you mentioned that you would expect some transitional period there and some CapEx is needed to stabilize the property is it reasonable to expect some additional slippage in coverage next quarter given that you reported on a lagging quarter basis its trailing 12 month and then you might need some time and make necessary capital investments to get those assets at this time?
Kevin Pascoe: There’s going to be a transition. As I mentioned or alluded to just bringing in that new portfolio of five buildings. There is going to be some transition associated with those and getting them to where they need to be. I think Bickford is doing a very good job of transitioning they’re on plan in terms of where they wanted to be but rolling those into the portfolio, there's going to be some transition costs associated with that.
Chad Vanacore: And then this quarter you made another construction loan to Bickford. Can you tell a little bit more about that? And then what are development opportunities you have in the pipeline or on paper?
Kevin Pascoe: So the development commitment we have listed out, that’s part of the guidance that Roger had mentioned. The one that we closed is in their prototype would be another 60 to 64 unit model it’s located in Michigan and feel like they’ve done a really nice job, selecting markets, selecting sites. And as I noted in my prepared remarks they've done a really good job in leasing those up. So that’s the one that we have the last one that closed. And we continue to look at opportunities with them and with all of our customers for that matter if they have the desire to look at the development we’re open for business there. We are selective on the markets we’ll go into. But in the case of Bickford or other operators that have track record development, it’s something we’ll definitely continue to evaluate.
Chad Vanacore: Maybe not have this correct. But I think last quarter you mentioned that mid-year update you get some clarity on expected acquisitions through the year. We’re now sitting in mid-year here $153 million of new investments year-to-date, which seems to be ahead of schedule. Do you want to give us an idea of what outlook for the balance of the year is?
Eric Mendelsohn: As I was saying to Rich earlier, we’ve got stuff that we’re circling but we’re not certain on closing or terms. So we’re not in a position yet to adjust our guidance anymore than tighten the range. But if we do close something we’ll adjust the guidance at the same time through our press release.
Chad Vanacore: Eric, what about maybe pipeline of potential opportunities that you’re going through right now?
Eric Mendelsohn: We’re as busy as we've ever been. It’s an interesting environment out there. We’re seeing a lot of distressed stuff that isn't necessarily our cup of tea, but we’re also seeing a lot of stabilized portfolios come to market. So it's an interesting time if you are in a position to take advantage of it.
Operator: Our next question is from the line of Todd Stender with Wells Fargo. Please proceed with your question.
Todd Stender: Kevin, just going back to the Bickford recent deal, the five property portfolio. The initial lease yield of 6.85, it’s on lower side we've seen I guess for Bickford. What would be a stabilized yield? It sounds like if it’s in transition, maybe there’d be a step up and ran or something like that, any detail?
Kevin Pascoe: So on that one we do have fixed annual escalators. There is also a feature, a fair market lease up feature after, I believe, it's two or three years of performance. So there is a potential step up in the rent. It’s not something that we’ve -- is guaranteed. But if they perform the way they think -- we think they can then there will be that opportunity to adjust the rental payment at that time.
Todd Stender: What would be or how do you underwrite this on a coverage basis if it's transitioning -- it's under triple net lease. What’s the coverage maybe now and maybe what it will be upon stabilization?
Kevin Pascoe: So with any senior housing asset, we’re targeting 1.15 to 1.25 at stabilization. These are in transition so they are below that on an initial basis but we have reasonably though reached that level once they get to stabilization.
Todd Stender: And Bickford is listed as 18% of the portfolio as of Q2. Is this portfolio included in that number? I just want to see where concentration goes to.
Kevin Pascoe: Yes, the 18% does include this acquisition.
Todd Stender: And then Roger, you mentioned the write-down and notes receivable in your prepared remarks. Can you talk about that, maybe the size of the loan? And then you indicated the operator as maybe have a little more of an international feel.
Roger Hopkins: I’ll defer to Eric on that one.
Eric Mendelsohn: Todd, this was a development loan for an outfit, called Signature India and it’s a legacy loan for me and it started out at 1.5 million. We’re not ready to give up on it yet but the accountants tell me that it's time to at least write down a portion of it. And we do have a personal guarantee to some extent, so that 400,000 would be the amount at risk. And I said the loan is four years old and it was 8% interest.
Kevin Pascoe: I think that was -- I believe it was 10%…
Eric Mendelsohn: It started out at 10%. So we probably broke even when all is said and done, and we’re not done trying to collect yet.
Todd Stender: And then just finally on Holiday, sounds like a positive trend maybe now, coverage and occupancy are trending higher. Can you share any thoughts on what you're seeing at Holiday and any improvements there?
Kevin Pascoe: They continue to build occupancy and we documented -- discussed the challenges they face last year, but do feel like they’re making progress from an occupancy perspective. Frankly, it’s going to take them a little bit of time to build coverage starting to see that a little bit in the number. The first thing that’s going to come as an occupancy, they have had net positive move-ins. So we’re very pleased to see that and it’s something we’ll continue to watch closely.
Operator: Our next question is from the line of Daniel Bernstein with Capital One. Please proceed with your question.
Daniel Bernstein: Maybe I’m misinterpreting some of your comments from the opening remarks. But are you getting more interest in right data type structures or where you can capture some upside in senior housing? And if not, maybe just talk about how you’re thinking about capturing up -- your thoughts about maybe taking advantage of opportunities in the senior housing space that you referred to?
Eric Mendelsohn: You’re absolutely right with that observation. We’re talking about a lot of different structures. One of my favorite is a joint venture on the real estate where an operator has worked with private equity or some other investor, and has a promote structure that would give them equity in the property and they could roll that over in a tax efficient basis into a joint venture and participate in the ownership of the real estate. And NHI may or may not participate in the ownership of operations. So whether or not it’s a RIDEA or a joint venture, we’re looking at a lot of opportunities like that.
Daniel Bernstein: Is there a size of the portfolio that you would -- as a percentage of your assets, your size number that you’re thinking of that you would -- or limit that you would go up to. Some of your large peers are 35% or 45% exposed to senior housing operating. Is that -- would that be too much for you guys, or we think it’s a much smaller number?
Eric Mendelsohn: Well, I think you’re getting ahead of us there. I will see this that given that we don’t have any, we‘re at triple net REIT at the moment. And I would say this. The types of structures that we’re talking about are very a labor intensive on the front end in terms of legal and accounting cost. And then on the backend, once the transaction is closed, you have typically you have to have audited financials and other high overhead activities to maintain it in compliance with being a public company and the tax code. So the deals would be -- need to be big enough to warrant the extra overhead and bring damage.
Daniel Bernstein: Then on -- you issued equity, I guess, in May, June on ATM. You’d previously been buying back your converts. I was just trying to think about how you’re thinking about the effective price that you bought back to convert that and the exercise price on those converts versus your ATM issuance? And then would you bring -- at the current stock price, which is higher than we issued the equity at. Would you consider issuing more equity to bring down leverage further rest of the year?
John Spaid: We’re just maintaining a disciplined approach to our capital plan. And we’re not trying to be market timers. Although, when we look at that convert, we can’t help but look out to the 2021 maturity date and ask ourselves what we might look like at that particular time. And as you know that convert ratchets down, which means the cost to pair up because of the conversion feature goes up, and that conversion feature goes up every time we issue a dividend in excess of $0.77 a share, which we intend to continue to do and grow. So we try not to be market timers and this has been a bit of a -- little bit of a tough year, because of our interest rates and our stock price. But having that capacity to do deals, which means primarily a good stock price on a strong equity support allows us to continue to grow, which we need to do to be accretive. So that’s our thinking. And I don't know that we would just go out for the sake of de-levering, issue a lot of stock because that would be additionally dilutive and we want to continue to be accretive.
Operator: Our next question is from the line of Jordan Sadler with KeyBanc Capital Markets. Please proceed with your question.
Jordan Sadler: I wanted to follow-up on the earlier question, Dan’s earlier question, regarding additional potential joint ventures or some of these deals you’ve alluded to. Would these be potential conversions of existing relationships, or existing properties that you currently own? I didn’t catch what you said there.
Eric Mendelsohn: Not, that isn’t really where we're headed with this, this would be new business, different operators, different structures.
Jordan Sadler: And the structures, it sounds like they would be unique to what else is out there, or are you just saying it should be unique to what's typically -- what you guys have typically had in the portfolio?
Eric Mendelsohn: Exactly, the latter, it would be unique to us. And these are just conversations at the moment so I really can't give you any type of definitive examples. My remarks at the beginning were just to signal to the analyst and investor community that we’re open to these types of structures. I think I talked about that in our one-on-one meetings that we’re interested in those structures where it’s the right operator where the operator has a good history and when the operator has a sufficient balance sheet to participate in the real estate, and not just use us as a check book.
Jordan Sadler: So new operators, which I think I did hear?
Eric Mendelsohn: Yes.
Jordan Sadler: And I think you've been pretty consistent in your view and vision that there could be something like this out there for you over the course of last two years as you’ve discussed it, I think since you converted the Bickford relationship. So I think we’re just curious why you flagged it today, which it sounds like maybe you’re just doing a little bit of more work, is my perception.
Eric Mendelsohn: That I would say you’re very perceptive.
Jordan Sadler: Te other question I had for you is on coverages, and this is a little bit along the same lines. When I look at the all other categories within the need driven show portfolio, that coverage has slipped, that EBITDARM on coverage is now 1.12 times versus 1.18 times a year ago. And I guess I’m curious -- that seems like a pretty thin level of coverage, number one. And so I’m curious now these folks are able to -- because I think there is a pretty significant number of properties, it’s probably 46 properties according to the Q that make up this bunch of this portfolio. So are there a small handful that are driving that materially lower, and those are the ones that are flagged in your filings? Or is it that EBITDARM coverage across that portfolio has slipped lower broadly?
Eric Mendelsohn: For all the other analyst and investors listening, this is a new format of information that we’ve put out, it’s on Page 32 of our Q and it’s in response to questions about our coverage in the past, and your curiosity regarding the coverage of our portfolio that isn’t spelled out with the largest operators, so good for you Jordon for spotting that. I would say that it’s just a couple of portfolios that are under-performing. And it concerns us too that’s why we put it out there, because we wanted people to have as much transparency as we can give them without singling out individual tenants. So we felt that this was a good way to do it. And keep in mind two things, one, we’re a triple net REIT, so this is not a RIDEA situation where under performance like that will have a direct impact on our revenue. And the second thing to keep in mind is that these are leases that have other credit enhancements, whether it’s deposits, whether it’s personal guarantees, whether it’s assignment of cash flow from other buildings that aren’t in the lease. We have other levers we can pull when coverage gets tight through the lease that help us maintain the lease payments.
Jordan Sadler: Would the two tenants that are non-compliant currently fit in that bucket?
Eric Mendelsohn: Yes.
Jordan Sadler: And then I guess on the opposite side, we were talking about the improvement and SNF sentiment. But I noticed the opposite trend occurring in your skilled nursing portfolio ex-NHC. So your all other skilled nursing portfolio saw a pretty dramatic improvement year-over-year to 1.51 versus 1.39. Now I know that NHC is a big concentration there. But can you maybe offer a little bit of color there, what drove this improvement…
Kevin Pascoe: As you know, there is a couple of different operators that would be sitting in that bucket. But there has been a few things, one, being what Ensign has talked about on their conference call, the improvement of the Legend portfolio over time, they are a good size of customer of ours that would be in that bucket. And then I feel like just over time the operators that we have on the skilled side, they’ve done a really good job of managing through the headwinds that have been facing. That’s not to say that they’re all where they want to be. But I would say that they have worked very diligently to making improvements, and the biggest contributing factor there is going to be the improvement of the legend portfolio.
Jordan Sadler: When you look at the mix of the pipeline, Kevin, are you underwriting new SNF deals?
Kevin Pascoe: We are. We’re looking at them. We remain very selective on skilled. I think what Eric was alluding was that the market is coming back to us in terms of what we require from an initial coverage standpoint. So we’ve been open for business the whole time, it’s just the market has been much more aggressive than we have. I feel like there's the opportunity for us to do deals but at the same time, we’re going to make sure there are good buildings, have good coverage and have an operator that has a bench and the size to be able to accommodate the new -- the changes that are coming in the industry.
Jordan Sadler: And then lastly, is there insight, Eric, you can lend into this -- the litigation that popped up in the quarter with East Lake? I mean it looks -- I'm not an attorney, I know you are. Can you help explain what's going on there? It doesn’t -- it's not intuitive.
Eric Mendelsohn: It isn’t intuitive and because it's in litigation, I hesitate to comment. We gave as much disclosure as we could, including the case number for those of you interested in pulling a copy of the file. So that’s as much as I’m able to say at this point.
Jordan Sadler: And that tenant is currently is current on its rent, or are they…
Eric Mendelsohn: They’re current on their base rent, yes.
Jordan Sadler: But there are obviously other issues, which are currently being litigated within the relationship and relative to the contract. Am I reading that correctly?
Eric Mendelsohn: It's all there in the pleadings.
Operator: [Operator Instructions] Our next question is a follow up from Rich Anderson from Mizuho Securities. Please proceed with your question.
Rich Anderson: So can I go back to needs driven disclosure, and it I guess sucks a little bit. You give new guide -- new disclosure and everyone tests you on it, so please don't take this the wrong way. But I'm curious about the 18 excluded assets. Can you remind me of that again? You said you don't have information on the financial situation at those. Is that what you said?
Eric Mendelsohn: It’s only three, Rich. We’ve included three assets and that is the litigation we’re not going to…
Rich Anderson: Okay…
Eric Mendelsohn: So we’re actually suing to get the information…
Rich Anderson: Okay, I understand now. And then the second question I have is when you -- we saw Holiday’s coverage go up by basis points, so I guess that’s good directional stuff. And you’ve covered the situation Kevin. But I am wondering if you look at your top tenants, do you feel movement in the right direction. Let me -- would you bucket some amount and moving in the right direction, some amount moving in the wrong direction. I am just curious how you feel about, directionally how things are going across a broader swath of your top tenants?
Kevin Pascoe: If you look at the top tenants, I feel like they’re all working very hard to mitigate the issues that they have. And they’re all little bit different just by the asset class that they are. But we talked about Bickford a little bit. I think across all of them, we can talk about wage pressure, senior living communities is doing a great job, feel like they’re on the right track and they’re continuing to perform as expected. And then we’ve talked about Holiday a little bit, just that they’ve had some challenges. They’ve gone through a lot of turnover. But in the face of that, they’ve been able to build some occupancy. So I think everybody has little bit different challenges, some are consistent. But I feel like they’re all trying to do the right things and making progress on those just frankly at different rates.
Rich Anderson: But progress pretty much across the board or anybody falling into a bigger worry bucket?
Kevin Pascoe: As we look at the top customers, there are people we spend a lot of time with. So I would not be sitting here saying it’s a big worry bucket. There are challenges they are facing. Like I said, I think they’re honest and they’re working very hard to fix those. We’ve talked a little bit about Bickford and just what you’ve seen in the coverage there. There has been transition expense on a couple of portfolios that’s going to show up for another quarter or two. But I do feel like between where we think those portfolios can go and having to do new developments, that’s a very positive relationship for us.
Operator: There are no further questions, at this time. I will now turn the call back to the presenters for the closing remarks.
Eric Mendelsohn: Thanks everyone for participating today. And we’ll look forward to seeing you in the next main NAREIT.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.